Operator: Thank you for standing by, and welcome to the Omni Bridgeway Limited First Half '26 Results. [Operator Instructions] I would now like to hand the conference over to Mr. Raymond van Hulst, Chief Executive Officer and Managing Director. Thank you. Please go ahead.
Raymond van Hulst: Thank you. Good morning, everyone, and welcome to Omni Bridgeway's results presentation for the 6 months ended 31st of December 2025. My name is Raymond van Hulst, Managing Director and Chief Executive Officer. Joining me today are David Breeney, our Chief Financial Officer; Jeremy Sambrook, our General Counsel and Company Secretary; and Nathan Kandapper, our Head of Corporate Development and Investor Relations. I am pleased with our first half FY '26 result. We are tracking well against our key targets with excellent investment metrics and solid progress on our corporate KPIs. We delivered strong investment proceeds for the half and continue to increase fee income while keeping OpEx materially below budget. The engine of our business is delivering strong investment returns as these drive co-investment [indiscernible] and our ability to grow fund capital and assets under management, or AUM. As AUM grows, fee income increases and scale benefits will further improve cost efficiency. We have performed well on all aspects of this flywheel, which reflects continued and disciplined execution of our strategy. Over the next 20 minutes or so, I will first cover the highlights from the half and the performance of our portfolio. David will then take you through the key elements before I come back to provide a strategic and management update, followed by Q&A. So let's move on to the highlights for the first half. As I indicated, this has been a positive first half. We are tracking at or above our key targets with very strong investment metrics and good progress on our KPIs. Let me summarize that through the key numbers. Investment proceeds came in at $223.7 million for the half, delivering statutory net profit after tax of $84.5 million. OpEx was less than $35 million, materially below our FY '26 budget of $80 million. Fee income was $18 million, tracking in line with the FY '26 target of $35 million and cost coverage at just over 50% for the period. As a result, is also tracking above the FY '26 target. On capital formation, we reached an important milestone with an additional close of USD 228 million in external commitments for Funds 4 and 5 Series 2. And while we aim for a full close by the end of December last year, we remain on track for a full and final close in the coming period with several parties continuing their final diligence. We also raised $8.2 million in additional sidecar capital during the half, and we have a number of further sidecar projects at advanced stages. Looking ahead at the second half, the message remains consistent. The portfolio maturity and the developments from the first half provide a strong base for cash completions in the coming periods. We remain on track to deliver on our targets with regards to fee income increase and OpEx reduction. And the outlook for new commitments remains positive, supported by a strong pipeline, healthy industry consolidation and continued regulatory progress. These all underpin appropriate risk-adjusted pricing. With that, let's turn to the highlights on the investment performance. We had 45 full and partial completions in the first half with a multiple on invested capital or MOIC of 2.6x and 107% fair value conversion ratio. This ratio indicates how closely the fair value translates into cash proceeds, noting that this should always be looked at on a portfolio level and not on individual matters. The 2.6x MOIC is slightly above our life-to-date average of 2.4x and both are truly excellent investment returns. Both these metrics signal continued discipline in underwriting and valuation. There was also continued growth of the portfolio and AUM. AUM now stands at $5.5 billion, up 5% since June 2025, while portfolio fair [indiscernible] $3.8 billion with $800 million in OBL-only fair value. As per my opening statement, these strong investment metrics are the foundation of our business and will drive financial results, platform growth and operating efficiency going forward. Now moving to our business performance on Slide 7. David will cover our statutory accounts in detail. But as a reminder, following the Fund 9 transaction at the end of FY '25, we deconsolidated several funds from the group accounts and now recognize our retained interest as financial assets measured at fair value under IFRS. This shift means that our statutory financial statements [indiscernible] value and value creation in our portfolio. We also continue to report a non-IFRS OBL-only cash view, which David will walk through later. On a statutory IFRS basis, total income was $179.5 million, with net profit after tax at $84.5 million for the half, delivering earnings per share of $0.29. From a shareholder metrics point of view, return on equity for the half on an annualized basis was 23.9% whilst total book value per share is up 7% for the half to $3.20 per share. This last metric highlights the continued discount to book value of our shares. Let us now take a deeper look at how our portfolio progressed during the period on Slide 9. Similar to prior periods, I won't spend too long on this slide as we have provided many of the key points earlier and this has been part of our quarterly reporting. However, we feel it continues to be an important part, and we will provide the breakdown. Completion activity and momentum was elevated with 45 full and partial completions for the half. And of the $223.7 million in proceeds, $37.8 million was attributable to OBL-only. The fair value conversion of 107% is good and sufficiently close to 100% but may indicate that MLE adjustments in prior periods for these investments may have been too conservative on average. The portfolio developments, as outlined in the recent quarterly portfolio update were positive and will drive completion momentum for the coming periods. Looking at our portfolio on a fair value basis, our portfolio continues to be very well balanced between the regions and the different investment types. This level of diversification within the legal finance asset class is unique to Omni Bridgeway and reflects our multi-strategy or multi-strat approach with specialized teams focused on specific legal substrategies based on global areas of law, for example, intellectual property or based on jurisdiction, for example, Canada or Australia. Such diversification mitigates the risks associated with adverse regulatory, legal and economic events in any particular region or area of law. I continue to be pleased with our limited exposure to single large investments with the largest 10 investments representing only 13% of our commitments and 24% of the total fair value of the portfolio. This focus on diversification does not preclude us from investing in larger matters. Rather, we do so using sidecar capital in addition to our own funds. Sidecar capital helps us mitigate concentration risks while still generating management fees, transaction fees and our performance fees, enhancing our return on capital and equity. On Slide 11, we show the continued growth of the portfolio and platform, which is important as it drives further diversification and economies of scale. Firstly, looking at the right-hand side of Slide 11. The portfolio fair value has increased by an annual 23% over the last 2 years to $3.8 billion. This is net of new commitments, completions and material litigation events and represents the fair value of the group's gross investment portfolio. Of the $3.8 billion, approximately $800 million is attributable to OBL-only, representing the co-investment and carried interest entitlement. We will discuss these in more detail on Slides 12 and 13. The left-hand side shows the total commitments and deployments on active investments year-on-year with a realized compounded annual growth rate or CAGR over the last 3.5 years of 31%, reflecting both market growth and growth of market share. On to portfolio fair value movement. This slide and the next slide explain in standard format the movement in the portfolio value during the period on a total basis and on an OBL-only basis. Total portfolio fair value has increased by $203 million from new commitments, which links back to Slide 6. And the portfolio further increased as a result of investment deployments, which amounted to $112 million for the period. The remaining fair value movement of the portfolio amounted to $104 million for the period and is driven by 3 main factors. First, the discount unwind, which reflects the passage of time as investments move closer to an expected completion. Second, material litigation events or MLEs, which amounted to a negative $63 million adjustment for this period and reflect the net effect of all positive and negative fair value developments, which involved 119 of our investments. These can be interim judgments, expert reports, but more often include timing changes following updated court schedules or externally driven adjustments to budgets or claim values. The $63 million is less than 2% of the total portfolio value and should be looked at in combination with 107% fair value conversion ratio discussed earlier. And finally, FX movements, which have been a major driver this period. With the significant movement in the U.S. dollar against other major currencies, we've seen a negative $133 million impact this period on the total portfolio fair value. The overall effect of these factors resulted in a positive net fair value movement of $104 million for the period. And lastly, the investments and associated fair value that completed during the period have fallen out of the portfolio. Slide 13 provides the identical overview from an OBL-only perspective. Overall, the OBL-only value of the portfolio has increased by $120 million during the period, which is net of the FX impact from an OBL-only perspective amounting to negative $27 million. By comparing Slides 12 and 13, it becomes clear that the OBL-only attribution rate for new commitments, deployments, et cetera, is not equal. The attribution rate is driven by the specific general and carried interest terms of the funds and sidecar arrangements. Funds 8 and 9, as example, have a 0, respectively, very low OBL-only attribution rate for deployment, which is helpful from a capital-light asset management perspective. I will now hand over to David to take us through the financial results in more detail.
David Breeney: Good morning, and thank you, Raymond. I'm delighted to be delivering my second set of Omni Bridgeway financial results since taking on the role in March last year. Jumping to the consolidated P&L. This provides a walk of the gross proceeds at the fund level to the consolidated NPAT results. Total statutory income reached $179.5 million, driven by fair value gains of $95.5 million, reflecting the strong growth and movement of the portfolio. Net profit after tax rose to $84.5 million, up from $18.7 million in 1H '25. Fee income is significantly up on 1H '25 to $18 million, a 31% increase, representing the ongoing value generated from the Fund 9 transaction and continued growth in transaction fees. These results underscore the continued strength of our portfolio. It is important to note here, the Fund 9 transaction in the second half of FY '25 has resulted in a non-like-for-like comparative period to 1H '25, with Funds 2, 3 and 4, all deconsolidated for the 1H '26 period and accounted for at fair value. The OBL-only fair value P&L continues to be management's preferred view. It shows the movement in fair value of the OBL-only investments at fair value for the full year, inclusive of funds [indiscernible]. And as predicted in the June '25 presentation, the result is aligning closer to the statutory results. OBL has [indiscernible] $124.7 million in EBIT for the half with a realized EBIT of $21.4 million, an increase of 21% half-on-half, driven by the successful investment completions and increased fee income. Our unrealized income was likewise positive, reflecting the strong value generation of our new investments and the portfolio movement in the existing portfolio even after a negative FX movement in the period. The 107% fair value conversion ratio for the half further validates and demonstrates OBL's ability to deliver consistent value to all of our stakeholders. Our cash OpEx at $34.4 million has continued to reduce down from $39.6 million at the same time last year, which is a result of our previous cost management measures put in place. We expect to end below the $80 million budget for FY '26. The OBL-only cash P&L reflects the cash view of the P&L items for 1H '26 and is a cash bridge for the last 2 quarterly reports. OBL-only has generated $22.1 million during the period, a $19.3 million increase on 1H '25, driven by the complete removal of interest and debt as well as a reduction of OpEx and increase in fee income. OBL-only investment deployments reduced by 30% to $17.3 million, predominantly due to the fund line structure, which has reduced OBL-only co-deployments to be a maximum of our co-investment in the fund, thus materially decreasing investment deployment cash outflows. Our improved cost coverage further emphasizes our unwavering focus on cost discipline. OBL-only cash OpEx was reduced 13% to $34.4 million half-on-half. Whilst we do anticipate the second half of '26 to be higher, as mentioned earlier, full year-end OpEx is expected to end below our FY '26 budget of $80 million. Fee income has grown 28% CAGR since '23 and is tracking in line to our expected $35 million target. We remain on track to achieve a 70% cost coverage by FY '28, a key milestone in our long-term efficiency strategy. Moving to Page 19. This chart provides a bridge of cash movements and our liquidity balance at the end of December. On an OBL-only [indiscernible] $149 million in cash and receivables at the end of the period, up $3 million since June 30. This has landed within our expectations. OBL-only cash flow and liquidity profile is a probabilistic analysis, reflecting a range of possible outcomes, the assumptions of which are driven by the 300-plus underlying matters and therefore, are live and dynamic. On previous slides, we stated that we are targeting fee income $38 million and platform expenses $75 million for the next 12 months. Using a Monte Carlo simulation to derive a P50 scenario, the expected cash flow to OBL-only from completions is potentially around $80 million with associated deployments in this scenario potentially just over $20 million. The candlestick end similarly represent the potential range of different scenarios based on our P80, P20 or 60% confidence interval. We have included a category for potential secondary sales as they present a potential source of revenue as we have consistently proved for an origination platform like ours. You will note that there is no central box on that note, indicating that this is not an expected event rather than something could occur if the stars align and the opportunity arises. We expect the portfolio to be on track to deliver positive free cash flow for the year ahead. With that, I now hand back to Raymond.
Raymond van Hulst: Thank you, David. Now moving to the strategic update, where we have outlined the key developments across capital markets, operations, market dynamics and growth. Starting with capital markets. We already discussed the status on the Funds 4 and 5 Series 2 capital raise in the sidecars. Notwithstanding the generally challenging market environment for fundraising, the additional close of Funds 4 and 5 indicates that OBL continues to have good market access. Sidecar capital discussions at advanced stages also support this and provide for ongoing engagement with capital partners outside of fundraising cycle. In the FY '25 results presentation, we discussed and presented our capital allocation policy, which outlined that we aim to keep our net liquidity within a 12- to 24-month bandwidth, and we'll consider distributions when above that range. We currently remain at the higher end within that range, while we clear the legacy balance sheet liability related to the Westgem adverse cost. In the FY '25 results presentation, we also indicated that we were working on an analyst deck with an updated vintage analysis. [indiscernible] to announce that we have now substantially completed that analysis and presentation. And in a few weeks on March '26, we will release it to the market. This will be accompanied by a prerecorded video of the management team presenting the materials. On the operations front, we are -- we already discussed the positive fee income and OpEx trajectories. AI-driven developments and capabilities on the legal tech and operational software side have accelerated, which provide a unique opportunity for OBL to further improve the investment and operational efficiency of our platform. We believe these developments will allow us to improve and grow our platform in size while maintaining our OpEx at current levels, and we are engaging with these opportunities. We are currently in the middle of the rollout of our team carried interest program and are on track to have that fully completed within the next months. This will further align the team with our shareholders and fund investors and will improve investment efficiency in the longer term. Market dynamics continue to be favorable with [indiscernible] underpinning appropriate risk-adjusted pricing and economies of scale. As per our quarterly investment portfolio updates, regulatory developments have overall been positive across the key global jurisdictions with both the European Commission and the U.K. government highlighting the value of legal finance as tool for access to justice and concluding no regulation is needed for only recommending light touch supervision. U.S. discussions remain centered on disclosure obligations, but these have currently not progressed. Coming back to AI development. We are seeing the first signs of an AI-driven transformation of the legal industry, which we believe will ultimately expand the opportunity set for capital deployment within the legal industry. And lastly, growth. AUM is growing in line with the medium-term target of an annualized 10% increase. The growing opportunity set that we are seeing as represented by our increasing pipeline will continue to support that medium-term target. And we continue to explore further expansion and diversification within our multi-strat model for legal assets, adding new substrategies to our portfolio when the opportunities arise. And to conclude, we have 2 positive management updates that support the next phase of our strategy. First, we are pleased to welcome Peter Galgay, who may be well known to some of you already. He will join our New York office as Head of Commercial Strategy and Capital Solutions effective March '26. Peter knows OBL and the legal finance industry very well. [indiscernible] as fund investor across multiple of the OBL funds and as a significant shareholder over many years. Peter will focus on expanding our capability in originating and underwriting larger and more bespoke capital solutions for legal assets, including structured finance solutions. He will work closely with our investor relations and capital formation teams to deepen relationships in the U.S. and broader global capital markets in support of origination, fund formation and shareholder engagement. We are excited that Peter has chosen to join the Omni team. Second, Tom Glasgow, our Global Operating Officer, will relocate to our Middle East office later this year. This reflects our view of the growth potential of the Middle East region for our business, which Tom will push to explore and improves proximity across time zones to our global teams as Tom continues to lead the platform operationally. Tom's relocation, together with Peter's joining, also completes our process to have senior management and capital markets capability on the ground in all major markets globally. Both of these roles and developments are integral parts of our strategy to further grow OBL as the leading global and institutional grade investment management platform for legal assets. Thank you for your attention. We will now move to Q&A. Before we open the line to questions, we have a few questions from Jason Palmer, who can't join the call today.
Raymond van Hulst: So the first question of Jason is, how is cash flow looking like for 2H '26 and calendar year '26? If he was on the call, I would refer to the relevant slide that we just presented. Any legal assets are such that any prediction on a 6-month basis is always less meaningful. We don't control processes to that detail and forecasting them to that detail is near impossible or not meaningful. So what we do on an ongoing basis is give you an updated view on a 12-month forward-looking basis, which is the slide that David presented. His second question relates to our cost base and asks if -- what the cost base will be going forward. The answer to that is that I don't expect our cost to reduce any further. We've gone through a significant process of cost reduction, and we are currently operating on a very efficient basis, and we're generating very significant value as represented by the results. If we would reduce costs further, it would impact our ability to generate that value, and we think that's value destructive. So the idea is that we are currently at the level that we want to be at and may see just an increase through inflation or maybe keeping it level at this point. His third question relates to potential new funds to launch in calendar year '26. We are currently fully focused on completing the Funds 4 and 5 capital raise, so that's got the full attention. We have several sidecar or SMA discussions running, which may develop further in kind of specialized fund type vehicles, but it's too early to disclose or to speak on those now. All the focus will be on completing the Funds 4 and 5. And the last question he put to us is when will the balance of the capital for Funds 4, 5 Series to be raised? And are the terms in line with expectations on cost coverage target of 70% by FY '28. The answer to that is, yes, at least in the second part, we do expect -- we're still on target for that 70%. And I think it's fair to say that the market has grown up and acknowledges that. This is an asset class and a strategy that requires or that's more costly than most other asset classes and that a certain level of fees is needed to achieve the results that we are achieving. So I'm relatively comfortable that we will hit those targets by the indicated time line. And on when exactly that balance will be raised, all the indications we currently have is that it will be within this financial year. But as with investments, we don't fully control that process. We are dependent to some extent on outside parties and processes. The way it looks now, it should be this financial year. That's it for Jason. Before we open the call for further questions, I would actually like to speak a bit more on Jason, and I would like to wish a fun farewell to him. Jason is coming to the dark side and joining an ASX-listed corporate in Adelaide. So he won't be joining us in the future. Jason has been a fixture of many earnings calls and has been both a staunch supporter and critic, keeping us very focused on the important points. We thank him for his support over the years and wish him well in his new role, and we're very happy that he continues to be a shareholder of OBL. Operator, we would now like to open the call for further questions.
Operator: [Operator Instructions] Your first question is from David Fraser from MST.
David Fraser: Can you hear me okay.
Raymond van Hulst: We can hear you well.
David Fraser: I think Jason touched on it, but the capital raise, from my numbers, you've done about $735 million, of which I think $200 million is your OBL contribution. So you've got around about $265 million to go. I guess can you give us some comfort that you will get it done by full year '26? And I just -- the guidance, as you said, was by the end of last year. And what happened? Was there anything in the market or anything that actually impacted on you actually getting it all done by the end of last year, but now you're actually doing it by June this year.
Raymond van Hulst: Yes. Thanks, David. Good question and a fair question. So we -- nothing has changed. It's the same parties. It's just the fact that in the turmoil at the end of the year, they have managed to complete the process, the [ ODT ] process and the final diligence and that lifted over the end of the year. And unfortunately, we are takers of that news and information, we can't really push people to move faster if they can't do that. So as indicated also on the question of Jason, we don't control it, but we've received a firm commitment that they will try to have -- or that they feel that they are going to be able to complete these processes within the time period now, and that process is actually pretty actively going on. So I'm reasonably comfortable that, that will happen in time. That's the only thing that's happened. It's not that parties have fallen out. It's the process that hasn't been completed within the time period that we thought it would take.
David Fraser: Can you get Peter to put some more money in from [ NFO ]? This is a question for David probably. Westgem, the adverse costs associated with that investment. Has that been paid? And can we see that in the OBL-only cash flow? Is it in the investments? Or is it in the working capital movement? Or -- and what's the timing on those adverse costs?
Raymond van Hulst: So the -- as per the disclosure we made on that when it happened, it goes in several payments, part this year, part next financial year. And it's modeled into Slide 27, the investment proceeds slide includes the payment on that obligation. So it sits within the investment proceeds.
David Fraser: Okay. Jumping to the, I guess, the next 12-month forecast. You did $17 million deployment in the last 6 months. We're forecasting $21 million over the next 12 months. I can understand it's going to be low because obviously, your commitments in Fund 9 are effectively 30% of what you used to own 20%. And so that's obviously going to be lower. When do you think you'll start to see a step-up in deployments for Series 2 and net deployment number on an OBL-only basis, i.e. being 20% of Series 2 Funds 4 and 5, when you think that will start to step up?
Raymond van Hulst: Well, I think what you see there in deployments is actually mostly Funds 4 and 5 Series 2 because the way Fund 9 or Fund 8 doesn't have a co-invest deployment in the way it's structured and Fund 9, the way that is structured is once we've made distributions to Fund 9, the -- or once there are completions within the Fund 9 structure, if we time it well or if it is timed well, the OBL co-invest on further deployments will effectively be 0. And based on the profile of completions, we think that the majority of deployments in Fund 9 will actually be 100% Fund 9 and deployments that you see in that slide are [ Series 2 ]. So I don't expect that to go up too fast. Possibly if we are. It depends a little bit on how many new commitments we have and what type of new commitments we put in and how much of that goes into sidecar.
David Fraser: Right. Okay. So effectively in Fund 9, there's some recycling going on at the moment?
Raymond van Hulst: Yes, that's correct.
David Fraser: So just given your potential pro forma closing liquidity to be up around about $170 million, what's the Board and your view on capital management that you've got excess liquidity based on 12 to 24 months?
Raymond van Hulst: So we are very -- I think we've been extremely transparent in the FY '25 presentation on what our capital allocation policy is, and we will execute on that policy when the opportunity is there. So we've indicated that once we were above the 24 months, that is the moment we will actually start to proceed with a capital distribution either in the form of a dividend or a buyback or a combination to be seen at that moment. We are currently not yet there, as I indicated in the strategic update, but we are relatively close to it. And if the investment proceeds in the coming 12-month period happen as we expect them to happen, then we would indeed exceed that 24-month range, and we would proceed with a capital distribution as per the policy.
David Fraser: Okay. So sometime soon. Just a couple more, if that's okay. In your guidance, again, for the next 12 months, you've got investment proceeds of $79 million. Is there a sort of gut feel for how much of that's going to be performance fees?
Raymond van Hulst: Good question. I have to take that. I don't have that number ready. Part of that will be performance fees, but I think the majority [indiscernible] and I believe it's actually also quite a bit is Fund 6 type B and C income. But it's a combination across the funds, and there will be a part of that will be carried interest.
David Fraser: Okay. And last one, and this is theoretical, but your income to cross coverage of 70% by full year '28, I presume was based on a higher operating cost at the time. So is there potential that your coverage ratio will be higher than 70% by the end of '28 or is that a bit optimistic?
Raymond van Hulst: Well, ideally not stop pushing for more once we hit the 70%. And I think in a perfect scenario, we are at 100% or even above that. But I think it's too early to speculate on what happens in 2 years' time. The world is moving pretty fast at the moment. But I'm very pleased that we seem to be tracking well for that 70%.
Operator: Your next question is from Peter Meichelboeck from Select Equities.
Peter Meichelboeck: Just in relation to the funding, the raising for 4 and 5 Series 2. Can I just clarify exactly where you're at now in terms of that. I appreciate you've done the extra $228 million. But out of the $1 billion that was the sort of the target for this, where are we at now given that there's been a few closes and announcements, et cetera?
Raymond van Hulst: We are -- sorry, I don't have that number exactly in front of me, but it's -- you can add the numbers from the prior disclosures, but we are about $300 million shy of the full closure. I think it's closer to [ $70 million ] or so.
Peter Meichelboeck: Right. So out of -- so if it's sort of $700 million from what you're saying out of the $1 billion. But can I just clarify, does that $700 million then is that made up of -- is that counting $200 million for OBL and then sort of hence, $500 million external? Is that correct?
Raymond van Hulst: Yes, that's correct.
Peter Meichelboeck: Right. Okay. And also just -- I think you made a comment, Raymond, about the effect something about market first sort of capital raising is I think you said challenging. Can you just sort of go through sort of what particular aspects are making that challenging given that you've sort of been raising money here for a while. What are the sort of the real key challenging parts, if I could put it that way?
Raymond van Hulst: Yes. No, that's a good question. So I think the main challenge for us is that we sit in section of portfolios of large allocators, and we're often put together with private equity. Now we're performing a lot better than private equity. And even though we may have duration issues, private equity has been a bit more severe at the moment than we've had them. And while allocators want to kind of rebalance their portfolio and put more into, for example, alternative but they first need to recycle or get back of the private equity investments that they've made. So that's one element of this. And what -- as a result of that, we see that smaller allocators are -- have that problem slightly more. They seem to have been somewhat overallocated to private equity historically. And we seem to have become very attractive to the very large, very professional allocators, but that is a -- that's great. Those are the type of LPs we would like, but their diligence processes and are a lot more extensive than you would see if you have $10 million investment from a smaller allocator. So it's -- and part of it is it's the depth of the diligence because of the parties that are coming in. In part, it's the liquidity in the market with a lot of capital being locked in private equity. And I think the industry -- to be fair, I think the industry consolidation has also made that certain parties are putting more effort into the diligence because they want to make sure that our portfolio is tracking well. So all of that together is what I classified as challenging.
Peter Meichelboeck: Okay. That's fine. Can I just move on to the investment proceeds, the $37.8 million of investment proceeds. I mean, given the different structures of the funds, the waterfalls, et cetera. Can you give us some guidance of where those cash proceeds, the OBL-only, $37.8 million from which funds that's come from? Can you give us any indication on that?
Raymond van Hulst: Yes, sure. So this has been -- a significant part of this has been Fund 6, that's B&C cases, some of the co-invest there. It's a number of cases that were not part of that set in Funds 4 and 5 Series 1 and were not part of the Fund 9 transaction. I think that's the main -- that will cover the majority of those proceeds.
Peter Meichelboeck: And would be sort of the expectation going forward that Fund 6 would be sort of a main sort of driver of your expectations there in the sort of the immediate term?
Raymond van Hulst: Well, given Fund 6 is solidly into the harvesting period, it will indeed -- and it doesn't sit in the Fund 9 structure. It will certainly be an important contributor, but it will also come from the other funds, but probably in a smaller proportion at the early years.
Peter Meichelboeck: Okay. And just the last one for me and sort of follows on from David's question, et cetera, as well is around the -- I know you've mentioned around the sort of the capital management approach and you're referencing back to the approach that was presented in the FY '25 result. I guess in a nutshell, I'd sort of look at it and go, I mean, are you actually closer to that triggering that sort of range that you speak of the 12 to 24 months or once you're over 24? Are you actually closer today after this result than what you were at the result -- the last results 6 months ago?
Raymond van Hulst: Yes, I think we're -- we've gone up a little bit. And so we are a bit closer, but we haven't crossed it yet. And I would like -- I would very much like to have that Westgem liability cleared before taking the next step.
Peter Meichelboeck: Yes. Because I guess when I sort of look at it and sort of look at the sort of the history of sort of capital management of the company in recent times, I think it's now 5.5 years since the cash dividend was paid. And I think the only other capital management during that time was the $50 million buyback, which sort of only did $2 million. So I guess that's a key milestone for the company will be when a capital return is actually provided. So yes, so any sort of further clarity you can provide on that would be appreciated, I guess.
Raymond van Hulst: I completely understand the focus on it. If I can put it in perspective and maybe put that in the same bucket of capital management, less than 12 months ago, we cleared our balance sheet of $250 million in debt. And I would consider that a significant milestone in capital management as well. I'm very, very pleased that 9 months later, we're discussing how imminent a capital -- a further capital distribution to shareholders is. I think that's generally a very positive and good news story. But I completely appreciate that the next big milestone that we need to hit is a capital distribution, and we're all working very hard towards that.
Operator: Your next question is from Martin Byers from Moelis.
Martin Byers: Just following on with respect to the questions around the cost coverage. Maybe if we can just focus a little bit on unpacking that around the other levers other than just purely the cost base. So maybe if you can just provide some more color on how you see fee growth and mix from here driving that cost coverage to 70% in FY '28, please?
Raymond van Hulst: Okay. Thanks for that question. So what we're seeing is we had our first generation funds, which have either no or very delayed management fees. And then the second-generation funds had a management fee over deployed capital. And now in the last generation, we will have a mix of management fee as a percentage of deployed and a percentage of committed and it allows for transaction fees. That development of now having a mix of deployed, committed and transaction fees allows for a much more kind of diversified basis of management fees and one that's also growing faster because the historical book will continue to grow in deployments. And so we'll only have now hit the level of normal management fees that's expected from that. And the new funds will have an increased management fee coming from the commitment basis, while we are now also in the fund structures where we are able to retain the transaction fees from our deals, which are very successful in the way we can incorporate them in our deals. So management fees on deployed have grown more recently and will remain on this level or may grow a bit further. Management fees on committed are increasing quite rapidly and the transaction fees and monitoring fees that we get is what the real rapid increase over the last, I think, 24 months. And so we now have that balance between those different sources of management fees and especially the fees on committed and the transaction fees is going to drive the further growth to 70% cost coverage.
Martin Byers: You mentioned in your presentation, obviously, AI moving into the legal sector. Can you just put a little bit more meat on the bone there and discuss what you sort of see as the risk and the opportunities with respect to AI and Omni Bridgeway?
Raymond van Hulst: Sure. Well, I think it's a massive opportunity for OBL. We look at it at kind of 4 different layers or 3. One is we are actively using AI and have several projects to improve our efficiency just on the operational side, which help us in accuracy and in efficiency. And that can be -- our modeling is very complex. We use for our systems to have models checked and AI is extremely efficient in checking models for consistency. So it takes a lot of capacity -- potential capacity away there. Similar things happen on drafting legal contracts, et cetera. So the normal processes can be -- can benefit from AI and can reduce in the long run cost. And I will see it more as we can grow our activities without having to grow our cost base. And the second part is on the underwriting side. we originate, underwrite and manage. I think the underwriting part is already something where -- which is in part dependent on outsourcing. We ask for legal opinions, et cetera, and making the assessments of what probabilities of success are, et cetera, and what quantum ranges are and likely durations. That's an area where AI is supporting us massively in making sure that we use our historical data set, our proprietary data set and publicly available data sets to come up with the best possible parameters in our modeling and making sure that our underwriting and our pricing and structuring is at the mark. That's where we see the biggest developments now. The biggest opportunities are at the origination side where the legal industry is likely going to be very significantly impacted by AI. And we already see all kinds of movements in business models. And it's an area where we think we'll be able to do a lot -- have a lot more deals, capital deployment deals, investment opportunities that will become possible in the future that are less or more difficult currently. We might be investing more in legal claims itself rather than going through law firms, for example. And we see kind of the whole value chain of the legal industry changing over the next couple of years. And as a capital provider, we'll be able to create a lot more opportunities. In a broader sense, if the cost of legal services would go down, which is something you may think is logical, it may happen, that would be good news. And I'm not sure it will happen. But if that happens, it would be good news for us. I think the biggest hurdle for us in funding matters and one of the biggest reasons why we reject matters is that the budget to claim ratio is too high. And so if the average cost rate would go down, the opportunity set of cases that we can fund will actually go up, and that would be another great benefit. So we're monitoring all of this and are actively involved in a number of projects and it's quite exciting to see. But no doubt that this is going to be about 3 or 4 earnings calls as well.
Martin Byers: Yes, sure. One final one for me then. Just obviously, a very pleasing set of results and particularly versus the targets that you've set yourself. But in the short term, what are the things that's keeping management awake at night?
Raymond van Hulst: Well, the litigation under what keeps you up is always are we remaining our robustness on underwriting and are we winning enough cases and are the judgments coming in, in time. The good thing is, in the old days, what would keep us awake is single cases. And those would be potential make or break cases. That luckily we no longer have. But I'm still most concerned about is the number of cases that we expect to complete within the next 12 months. Is that number indeed going to complete until we hit our normal success rates and et cetera. But that is and will always remain the key issue. Maybe if we've tripled in size and statistics make that a single case is no longer relevant, maybe that stops. But until that moment, this is what keeps me awake.
Operator: There are no further questions at this time. I'll hand back to Mr. van Hulst for closing remarks. Thank you.
Raymond van Hulst: Okay. Well, thank you all for listening in and for your questions. Hopefully, we've answered them all. And if you have any other questions or follow-up questions, please don't hesitate to reach out. With that, we will now end the call and thank you all.